Operator: Good morning, and welcome to Element Fleet Management's Second Quarter 2025 Financial and Operating Results Conference Call. [Operator Instructions] and you are reminded that this call is being recorded [Operator Instructions] Elements wishes to caution listeners that today's information contains forward-looking statements, the assumptions on which they are based in the material risks and uncertainties that could cause them to differ are outlined in the company's year-end and most recent MD&A and annual information form. Although management believes that the expectations expressed in the statements are reasonable, actual results could differ materially. The company also reminds listeners that today's call references certain non-GAAP and supplemental financial measures. Management's measures performance on a reported and adjusted basis and considers both to be useful in providing readers with a better understanding of how it assesses results. A reconciliation of these non-GAAP financial measures to IFRS measures can be found in the company's most recent MD&A. I would now like to turn the call over to Laura Dottori-Attanasio, Chief Executive Officer. Please go ahead.
Laura L. Dottori-Attanasio: Good morning, everyone, and thank you for joining us. Element delivered record results in the second quarter of 2025, extending the strong momentum that we established at the start of the year. These results reflect the strength of our business model the disciplined execution of our global strategy and most importantly, the relentless commitment of our team members to serve our clients and create long-term value for all stakeholders. In a macro environment characterized by elevated uncertainty and shifting global trade dynamics, our purpose and values continue to guide us with clarity and conviction. Our commitment to delivering value to our clients and stakeholders continues to be our top priority. We made meaningful commercial progress this quarter and delivered healthy top line growth with strong contributions from both our services and net financing revenue. At the same time, we maintained disciplined expense management, which supported our performance. We welcomed 46 new clients in the second quarter, the majority of which converted from self-managed fleets, this highlights our increased traction in this important growth segment. We also added 265 new service enrollments, a strong continuation of our share of wallet expansion, further strengthening our recurring revenue base. Our Strategic Advisory Services team identified over $390 million in savings opportunities for our clients, of which 43% was actioned. This is up significantly from last year's rate, reflecting how clients are increasingly turning to us to help drive efficiencies in today's dynamic operating environment, reaffirming the Element value proposition. Our ongoing efforts have translated into solid year-over-year growth. Our committed order pipeline grew 6% and total client order volumes rose 9%. We also advanced our digital innovation agenda. Last week, we launched Element Mobility, a new strategic division dedicated to shaping the future of intelligent mobility. Under the leadership of Kobi Eisenberg, Element Mobility represents a new chapter in how we anticipate the evolving needs of our clients. Our recently announced partnerships with industry leaders, Samsara and Modis further enhance our ability to deliver more integrated tech-enabled solutions for our clients. The creation of Element Mobility and these partnerships signal our intent to lead an intelligent mobility by deepening the breadth and functionality of our platform, allowing us to deliver more value and more insights for our clients. Lastly, we remain committed to advancing our sustainability agenda. Earlier this quarter, we released our fifth annual sustainability report, which reinforces our focus on transparency environmental and social responsibility and having a long-term positive impact in all that we do. With that, I'll hand it over to Heath to take you through the financials.
Heath Valkenburg: Thank you, Laura. And good morning, everyone. Our record second quarter results reaffirm the strength and resilience of our business model and highlighted the continued progress we are making towards delivering on our financial objectives. We reported solid financial performance underpinned by healthy top line growth and disciplined expense management. This translated into adjusted earnings per share of $0.30 and free cash flow per share of $0.40, representing year-over-year growth of 7% and 8%, respectively. Foreign exchange continues to be a headwind in Q2, though the impact moderated relative to Q1. On a year-over-year basis, the Mexican peso depreciated 13% against the U.S. dollar, contributing to a $10 million reduction in net revenue and a $2 million benefit to adjusted operating expense and a $0.02 decrease to diluted earnings per share. We anticipate the FX translation effect to continue easing in the second half of the year. Now let us turn to our Q2 financials, which I will speak to on an adjusted basis. We generated net revenue of $290 million, an increase of 6% year-over-year driven by strong growth in both services and net financing revenue. When adjusted for foreign exchange, net revenue grew 9%, outpacing the 7% increase in adjusted operating expenses and resulting in positive operating leverage of 2.5%. Services revenue increased 8% year-over-year to $151 million reflecting increased penetration and utilization of our expanding suite of offerings, including a $3 million FX headwind, services revenue grew a strong 10% year-over-year. Net financing revenue rose 4% year-over-year to $127 million, driven by the ongoing benefits resulting from both our leasing business and funding initiatives along with strong gain on sale in both ANZ and Mexico. This was partly offset by higher funding costs associated with our preferred share redemptions and the Autofleet acquisition in October 2024. Excluding the $7 million FX impact, NFR grew a solid 10% year-over-year. Importantly, excluding gains on sale, our NFR yields for the first half of 2025 increased 20 basis points year-over-year, a strong outcome, especially considering funding headwinds from our preferred share redemptions and the Autofleet acquisition in late 2024. Origination volumes totaled $1.9 billion, down 4% year-over-year with foreign exchange contributing to the decline. Adjusted for FX, originations declined 2%, while on a quarter-over-quarter basis, originations grew 26%. We also saw continued momentum in client activity with our committed order pipeline of $1.7 billion, reflecting strong year-over-year growth underpinned by resilient demand and commercial strength. Syndication revenue held steady at $12 million despite a $418 million reduction in volume year-over-year. This decline was intentional driven by our decision to defer select syndication transactions to the second half of the year, aligning with the reinstatement of 100% bonus depreciation under the new U.S. tax legislation effective early July. As previously communicated, we expect this change to deliver a favorable uplift to syndication yield which we estimate could drive approximately $25 million in incremental annualized revenue. We do note, however, that our first half 2025 syndication yield has been strong due to client mix and the uplift expected is relative to the syndication yields generated in 2024. Adjusted operating expenses of $128 million maintained a trend of moderating growth at 5% year-over-year. When combined with our solid net revenue growth, this resulted in adjusted operating margin of 55.8%. We remain focused on driving internal efficiencies and consistently generating positive operating leverage. Our adjusted return on equity rose to 17.5%, up 120 basis points year-over-year, underscoring the strength of our capital-light model and disciplined balance sheet management. In Q2, we returned $61 million to shareholders through dividends and share repurchases. Year-to-date, we have repurchased 3.1 million common shares, representing $64 million in capital deployed, reinforcing our commitment to share buybacks as a key pillar of our capital allocation strategy. As of June 30, our debt-to-capital ratio stood at 76.1% within our targeted range of 73% to 77%. Looking ahead, we anticipate finishing the year at or above the high end of our guidance ranges across all key financial metrics, with the exception of originations which we expect will improve as macroeconomic uncertainty eases and businesses reengaged in capital planning and allocation. Despite operating in a complex external environment, we delivered a record quarter achieving new highs in revenue, adjusted operating income, return on equity, diluted earnings per share and free cash flow per share. We remain confident in our ability to sustain this momentum and continue delivering meaningful value to our clients and shareholders in the coming quarters. Thank you. Operator, we are now ready to take your questions.
Operator: [Operator Instructions] And our first question comes from Vasu Govil from KBW.
Vasundhara Govil: Congratulations on a strong trend. I wanted to maybe start by asking about originations. I know that number grew sequentially pretty nicely. But on a year-on-year basis, even on a constant FX basis, it's still down year-on-year and 2Q is typically your strongest quarter. So it would seem like you're tracking towards the lower end of the guidance range at best. And even to get there, you'd have to see significant acceleration in the back half, so just curious how much visibility you have in that acceleration?
Heath Valkenburg: Yes. So certainly, while the origination number for Q2 was down 2% year-on-year, FX-adjusted. It's important to note that excluding Armada, Q2 was actually the second highest quarter of originations in the company's history only behind Q2 of last year. And last year did have some tailwinds, I guess, from the supply chain normalization and pent-up demand going through the system. So a $1.9 billion that we delivered in Q2 still remains really strong in absolute terms. Importantly, it's also important to note that our committed order pipeline is actually up 13% year-over-year. So that gives us confidence of our ability to have strong originations going into the future. We saw Mexico was particularly strong, up 13% year-over- year and 33% quarter-over-quarter, which is important sign of that region, which has been impacted by macroeconomic uncertainty. So for all of those reasons, we're confident that we'll still have strong originations. And then the only final point that I would make is while originations is a very important metric, it can be heavily influenced by the timing of client orders and client ordering patterns. And it should be probably viewed alongside the net earning asset number, which again was very strong for Q2 and drove strong net financing revenue.
Vasundhara Govil: And just a quick one for you, Laura, on Element Mobility, congratulations at its launch. I know it's really early days, but anything you can share on what type of interest you are seeing within your base of fleets that may sort of bode well for the cross-sell opportunity there?
Laura L. Dottori-Attanasio: Great. Thanks, Vasu. We're very happy with our record quarter. So on Element mobility, what we were really doing there is, I'm going to say, setting up a blueprint for our organization. So it's our commitment, if you will, to shaping the future of fleet. While we stay grounded in, I'm going to say, delivering value today. So Element mobility is going to be our dedicated platform to drive innovation. So with our innovation lab, we're going to be focused on whether that's advancing next-gen technologies, whether it's forming strategic alliances like you saw where we announced our partnerships with Samsara and Modis. So we'll be looking at things from AI-driven analytics, advanced telematics, autonomous fleets, robotics. So the division is really going to be focused on, I'm going to say, solutions that can fundamentally reshape how fleets are managed. What's important as the takeaway here is that Element Mobility. And as I said, it's like a blueprint. So that's going to lead on the transformation piece without our losing focus on execution. So Element Mobility is going to effectively drive what's next while the rest of the organization is going to focus on doing what we've been doing, which is delivering exceptional service to our clients and looking to continually improve how we service them. The partnerships we think are going to be wonderful for us. We're super excited about them. And maybe if I can just a word on them because for us, again, we're all about delivering a real, I would say, in end-to-end fleet offering for our clients. So taking on motive, so they're the market leader in vehicle reimbursement, so that solutions for people who drive their cars to work. Samsara, they're recognized in the market for their AI-powered video telematics, the equipment tracking they do and all of their operations workflow tools. So these partnerships allow us to -- I'm going to say, integrate what we see as best-in-class solutions into our broader ecosystem. So that just further strengthens us. And it really does what we're looking to do, which is be that client-first mobility solutions provider for our clients.
Operator: Next question comes from Stephen Boland from Raymond James.
Stephen Boland: Laura, maybe you could just follow up a little bit, especially Samsara because they are well known. Is this just a solution that Samsara's offering into your fleet? Or is there like a counter there that you have access to their client base as well to offer other services that they don't provide? I'm just trying to -- is this a one-way partnership that they are just providing a solution to the 1.5 million vehicles that you have under management? And what -- I know you're not going to give me very much specifics on this, but obviously, there's a split in revenue. I'm not sure how much disclosure I couldn't find it on Samsara, but how much disclosure that if they're offering video in vehicles, what they charge per vehicle, what's the split is now between them and you?
Laura L. Dottori-Attanasio: All right. Well, thanks for that question. Stephen, and I will give you some specifics. So it is indeed a real partnership. So we're not exclusive in that Samsara does have a marketplace and they'll deal with others just as we're always open to strategic tech alliances if we feel that it's going to enhance, I'd say, our ecosystem. And if it aligns with our client-first platform strategy. So with Samsara, I'd say that our partnership is highly complementary. So as I talked about earlier, they deliver very specialized tech capabilities and essentially it allows us to embed their tech into our ecosystem. So that just makes it easier for our clients. I'm going to say, to adopt and scale their tools and they can do it in a more unified efficient fleet solution. So that way they get -- I'm going to say, our deep fleet expertise and some of these specialized capabilities. So it's a 2-way street. We refer them to our clients if we feel that, that's the right solution for them, and they'll be doing the same with their client base. So without going into the details of the partnership agreement, I'd just say for Elements on the revenue side for 2025, you can anticipate, I'd say, little to no impact on the revenue as a result of this initiative and the Modis partnership. But in 2026, we'd expect that the partnerships are going to contribute in that mid- to single-digit range. So I'd say what's really important is, again, for us, is we're always client-led, we're doing what we need to for our clients. And we do think that these partnerships are going to allow us to create some differentiated value. And then it will also help strengthen, I'd say, our long-term growth profile.
Stephen Boland: Okay. That's great. And then probably for Heath. I'm a broken record on this, but we talked a while ago about maybe every quarter, just about the off-balance sheet securitization facility. Just wondering on the progress of that. And maybe it was in the disclosure, sorry, it was a busy night -- the Blackstone was there any Blackstone securitization done in the quarter as well?
Heath Valkenburg: So to take the second part of that question first. No, there was no Blackstone transaction in the quarter, and that was -- the quarter was just standard syndications. In terms of the other off-balance sheet structures that we're working on, nothing to report at this point in time. We are making progress. We've got a term sheet that we're now actively progressing. So hoping to have something to announce in the back half of the year.
Operator: The next question comes from Bart Dziarski from RBC Capital Markets.
Bart Dziarski: I just wanted to touch on core VUM, up 1% year-over-year, and you called out market share gains and conversion of self-managed fleet. So wondering if you could unpack that a little bit more? And then sort of as we go from here, what are some of the initiatives that could lead to that core VUM growth going back to the 2% to 4% range?
Heath Valkenburg: Yes. So from a bond perspective, it's up 1% year-on-year and slightly down for the quarter. I'd say the quarter-on-quarter movement is more of a reflection of timing and onboard cadence. So for example, we've actually recently signed a large contract for a client and that one client will drive approximately 1% VUM growth alone. And then we have another -- a number of other material opportunities we're actively working on. And in fact, our new business pipeline is very, very strong. And we also think we've increased visibility around the trade environment, that should sort of be beneficial for clients and potential clients to make capital allocation decisions and move forward. So our long-term view is still anchored to the 2% to 4% range. And with that large clients that we have signed that will onboard in the second half of the year, coupled with the material opportunities we're actively working on, we're confident of getting back to that 2% to 4% range in the back half of the year.
Operator: Next question comes from Graham Ryding from TD Securities.
Graham Ryding: Laura, you flagged some self-managed wins driving your business this quarter. How would this quarter's number of wins sort of compare to your typical run rate on that front?
Laura L. Dottori-Attanasio: Well, thanks, Graham. It continues to represent a good share of our new wins. So I think as we've been sharing, it's about 40% to, say, 50% each quarter. just say that, that momentum, again, it remains consistent. We're seeing some really strong engagement and activity in the self-managed space, both from a pipeline and a conversion perspective. So I think as we're looking at market conditions that are out there, I think we're seeing our companies that were previously managing their fleets in-house. I'd say that they're increasingly looking for some expert-led solutions. And as we've shared in previous conversations or calls, that's kind of right in our -- I'd say, right in our wheelhouse, where we're really there and can help our clients navigate complexity deliver some cost-effective solutions for them when times are somewhat, I'd say, uncertain like they are these days. So the self-managed segment is doing really well.
Graham Ryding: Okay. Great. And then just to follow on your theme of -- just your emphasis on tech initiatives with, I guess, last year's Autofleet and then your Samsara partnership and others and I guess, you've launched the Element Mobility. What should we be looking for in sort of this area to sort of gauge if these investments are translating into growth? Should we be looking for service revenue growth to pick up? Should we be looking for margin upside? Should we be looking for bond growth? Like what -- how are you expecting these investments to translate into your business?
Laura L. Dottori-Attanasio: Well, I'd like -- Yes. I guess I'd like to say all of the above. I guess, from, if I could say, a financial perspective, I'd be looking at Element Mobility as -- I'm just going to say a natural extension of the investments that we've already been making in things like digitization and automation. So you'll see -- I'm going to say returns that we get like whether that's in client experience, where we should start to see improvement in our NPS scores, operational efficiencies and margin improvement as we've I'd say, as we've been showing, that would be the expectation. I think we'd also see client retention, again, the better services per pump that would increase to. So the focus really is on -- I'm going to say the capital-light services that we can offer a heat that highlighted earlier. And maybe go just a bit further because we've talked a lot about what we would look at from an acquiring capabilities perspective. And I think what Element Mobility will give us is really a more structured way to assess the best approach. So whether that means we build something in house to go faster for delivering returns in client experience or for our shareholders or whether that's partnering with best-in-class players like we've done with Samsara and Modis or it could be just acquiring capabilities if we think that it makes strategic sense. So it'll be all of those. And again, I guess, what I'd just say is at this point, we're going to keep being really selective. We're going to focus on quality. And of course, we're going to want to make sure that it's got some long-term value creation for our shareholders. So again, not a specific answer, but hopefully, one that gives you a sense of the direction that we're in.
Operator: Next question comes from Jaeme Gloyn from National Bank Financial.
Jaeme Gloyn: Yes. First question, just on the servicing revenues. I don't want to suggest, let's say, it's a bad result were in you post 8% growth and 10% on constant currency, but a little bit slower than maybe what we I guess, we're accustomed to from last year's results and a little bit of a dip quarter-over-quarter on an absolute dollar basis. Can you shed a little bit more light as to maybe some of the factors that might have been driving that sequential decline or perhaps a little bit slower growth rate in this quarter versus maybe, I guess, what we've got used to.
Heath Valkenburg: Yes, Jaeme. So I guess, my overarching comment would be we continue or continue to expect that the service revenue line will be our largest contributor of growth for 2025 and into the future. And we still have a lot of white space in terms of new client wins, increasing product penetration with the existing clients, bringing new products and services to market, as Laura has touched on, as well as continuing to sell the products we acquired through Autofleet. In terms of the results for the quarter, so yes, FX adjusted was up 10% year-on-year. And while it was flat quarter-on-quarter, we did sort of see the same thing happened last year driven by a slight reduction in utilization for the quarter. So certainly, it's a key focus area of us. And I guess I would refer back to my previous comments on VUM. The focus for us as a business is really converting the opportunities that we've got there, plus those material contracts that were signed, get them onboarded and continue to sell the products into our client base and we'll see continued growth in service revenue as we action that.
Jaeme Gloyn: Okay. And Heath, while I have you here, on the net financing revenue yield and thinking about this on the core basis, [indiscernible] would suggest an increase of almost 20 basis points quarter-over-quarter. A pretty good result. Can you -- it looks like it's driven by both the revenue and lower funding costs. But can you describe some of the -- what's been driving that growth in the top line revenue yield driving that expansion in margin. Is that geographic mix? Is there something you're doing from a pricing perspective that maybe we talked about in Mexico last year. What's helping to push that ahead?
Heath Valkenburg: Yes. So it's certainly driven by two key things. And also the -- what I would note is the 20 basis point improvement for the first half of the year is also particularly happy -- we're happy with it given that we also absorbed extra debt from the preferred share redemptions in the Autofleet acquisition. In terms of what's driving the strong performance, it's really two things, One is the leasing initiative that we set up and we are starting to see the benefits of that come through from centralizing and standardizing our leasing business and really ensuring we're generating an appropriate risk-adjusted return on our leasing. And then the second element will be the funding, and we continue to evolve our funding structure. We implemented the commercial paper program, which had a significant reduction in our cost of funds. We also generated a really strong result on our most recent bond transaction, reducing the rate by about 247 basis points versus what was maturing. So those types of initiatives are helping to drive down the funding rate and then the leasing business and all of the focus we've got there is driving the top line growth.
Jaeme Gloyn: Great. And if I can just stay on that theme, speaking about the gain on sale and GOS, looks like more of a step-up in the Mexico region this quarter from gain on sale also in Australia and New Zealand. Anything in particular in Mexico with -- is this just a lumpy quarter for vehicles coming off lease? Is there -- was there something else coming through? And how sustainable should we look at GOS where it stepped up quite materially this quarter.
Heath Valkenburg: Yes, absolutely. Strong quarter on the gain on sale. And really, it's a function of price and volume. So firstly, on the volume side of the equation, the vehicles we're selling today are generally the vehicles we originated 4 years ago. So given the fact we've been growing, we are seeing and continue to expect to see growth in the number of vehicles we have available to sell. So that's been a driver, and we expect that, that will continue to be a driver. In relation to price, the price is partly driven by market dynamics, and we still expect that the price will continue to normalize over time. on the back of sort of the jump we saw from the supply chain issues. Having said that, though, we have put a lot of effort and work into our remarketing processes and optimizing our remarketing processes making sure we've got multichannel remarketing platform and driving high-quality vehicles. So good condition, low-mileage vehicles direct to the consumer where we can command a higher price rather than going through a dealer. So those sorts of things are helping us to offset the price decline from the market normalization. So in terms of a go-forward position on GOS, we expect that the volume will continue to increase, offset by price normalization.
Operator: [Operator Instructions] And our next question comes from Munish Garg from CIBC.
Munish Garg: So first one on Dublin. Just an extension from last question on financing yield expansion. So could you please provide some more color on how the Dublin initiatives are benefiting net financing revenue and pricing trends?
Laura L. Dottori-Attanasio: Sure. Thanks, Munish. I'll start maybe more broadly, and then I'll hand over to Heath, if he feels like handing out some specifics. We are firmly on track to achieve our targets. So we shared some while back that we generate $30 million to $45 million in net revenue by the end of 2028. And that actually, we are progressing towards, and it's part of what contributed to that increase in NFR. So we started in Dublin or I guess, back in August of 2024, just like to say this because we did complete this one on time and below budget. So on track, not just for the amount that I had mentioned, but we talked about a 2.5- to 3-year payback. So we're doing really well in that regard. And as Heath had mentioned, some of that relates to our improved pricing discipline by having centralized, if you will, and started to standardize how we service our clients and what we're seeing, and it's early days, but we're seeing better client leasing experience. We're seeing, I'm going to say, optimized operations and we're just getting started. And so that is some of that incremental value for our shareholders that's I guess now representing in NFR. But Heath, maybe you want to provide some detail?
Heath Valkenburg: Yes. So I guess the only thing that I would add is the margin or the yield rather for the first half of the year was up 20 basis points. And that actually also absorbed approximately $10 million of additional debt costs from the preferred share redemption and the Autofleet acquisition. So that sort of gives you some of the magnitude of the improvements that we've made. Some of that is driven by the leasing business. Some of that is driven by the funding initiatives that we spoke of before. I guess the final thing I'd say is the beauty of our business is we do have a lot of revenue levers. So increasing the yield, working on our funding, driving all of our many service offerings, obviously, the syndication and off-balance sheet financing. So we're highly focused on getting all of those levers going in the right direction to keep delivering strong results.
Munish Garg: Just one more for me. So Element is generating a lot of free cash flow right now. So what would be the top capital deployment priorities in, say, next 12 to 24 months?
Heath Valkenburg: Yes. So nothing has changed in terms of key priorities. So priority #1 is to continue to reinvest in the business for the long-term growth of the company. And that number hasn't changed of the $80 million that we referred to. So that is key a key focus for us to sustain our performance over the long term. In addition to that, we've obviously got our dividends that we pay out. And then we have been active in our share repurchases during the period. So we have repurchased 3.1 million shares for the first half of the year and we expect to continue repurchasing shares over the coming quarters and for the rest of the year. And then obviously, we also need to manage our leverage and make sure that our leverage is within our targeted range to continue to have our investment grade rating, which is critical from a funding perspective.
Operator: And the next question is a follow-up from Jaeme Gloyn from National Bank Financial.
Jaeme Gloyn: Just wanted to follow up on the Modis announcement. And if you could just sort of dig into what that market looks like, the market for vehicle reimbursement. This is something that would be new for Element. How many players are in there? What -- how many vehicles potentially -- what size that market maybe compared to the traditional fleet management market?
Laura L. Dottori-Attanasio: Yes. Sure, Jaeme. I can give you some of -- I guess, some of that information. So Modis in vehicle reimbursement, they play in the market that we refer to as gray fleet. So really for those who want to bring their cars to work, which is not an area that we actually play in and so when we looked at -- is this something that we want to build on our own, go out and buy something or set up a partnership, we did go out and look at the market. It's -- I'd say, a pretty solid market, and it is growing. We looked at a lot of the players there, and there are, of course, some really good players. What we thought would make the most sense, not just for our company, but more importantly, for our client base is if we partner with someone like Modis, who is the market leader in this particular space, so we can bring the very best to the clients that they require. And we're seeing, I would say, probably more thought that's being given to this space, just given the macroeconomic landscape. And we work with clients like we see some of them just -- and we do this with them, whether they want to reassess, I'm going to say the reimbursement route versus acquisition strategies in fleet and so normally, we would advise and where to go. And now we have the ability to do that all, I would say, within the ecosystem with this partnership with Modis. So we would expect to see some growth in this space. And I'm sure if you spoke with our partner, they would confirm saying that they see space. And I'd just say that this partnership, like the other one, Samsara, it's a 2-way partnership where we will each be referring one another's clients to each other. And again, all with the purpose of offering the best solution for a client for their needs. We do have a whole lot of information on TAM, et cetera, that I'm sure we can share with you or anyone who's of interest afterwards. Maybe not on this call because it would make for a very long call.
Jaeme Gloyn: Okay. Fair enough. And then if I just go back to your comment around the partnerships with Samsara and Modis. I believe you said that it could add mid-single digits to revenue growth in 2026. I just want to get some clarity on that and make sure I understand and I'm not maybe getting too over my skis. Is that something that we would think of as incremental to the traditional 6.5% to 8.5% revenue guide that we're used to? And then, I guess, what would be the makeup of that? Is it mostly Samsara? Or is there a bit of a split you can share?
Heath Valkenburg: Yes, maybe I'll take that one. So I think what Laura was referring to was from a dollar perspective, so not a percentage perspective. So I don't think you should take mid-single-digit percentage and overlay that to the 6.5% to 8.5%. It's a dollar number.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Laura Dottori-Attanasio for closing remarks.
Laura L. Dottori-Attanasio: All right. Thanks, Jason, and thanks, everyone, for joining us today. So as we look ahead, our strategic priorities will remain unchanged. We're going to deliver sustainable growth deep in digital leadership and provide exceptional client experience, all while we stay true to our purpose and values. So I'd like to thank our global team members for their commitment and their contributions and I also want to take this time to thank our shareholders, our analysts and our broader stakeholders for your continued support and your interest in Element. We look forward to reconnecting with you at our next quarterly call in November.
Operator: This brings today's conference call to a close. You may disconnect your lines. Thank you for participating, and have a pleasant day.